Operator: Greetings, and welcome to the Brightcove Third Quarter 2014 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to our host, Brian Denyeau of ICR. Please go ahead, sir.
Brian Denyeau: Good afternoon, and welcome to Brightcove's Third Quarter 2014 Earnings Call. Today, we'll be discussing our results announced in our press release issued after the market close today. With me on the call are David Mendels, Chief Executive Officer; and Chris Stagno, Brightcove's Chief Accounting Officer and Interim Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the fourth quarter of 2014 and the full year 2014, our position to execute on our growth strategy, our ability to expand our leadership position and our ability to maintain existing and acquire new customers. Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed annual report on Form 10-K and as updated by our other SEC filings. Also, during the course of today's call, we'll refer to certain non-GAAP financial measures. There's a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after the close of the market today, which is located on our website at www.brightcove.com. In terms of the agenda for today's call, David will provide a summary review of our financial results, market opportunity, as well as an update on our operations. Chris will then finish with additional details regarding our third quarter 2014 results as well as our guidance for the fourth quarter and the full year 2014. With that, let me turn the call over to David.
David R. Mendels: Thanks, Brian, and thanks to all of you for joining us today on our third quarter 2014 earnings call. We delivered third quarter revenue of $31.5 million and non-GAAP loss per share of $0.03, both of which exceeded the high end of our guidance ranges. In the third quarter, we made progress, executing against many of the key initiatives we highlighted on our last earnings call, including shifting away from a horizontal sales approach towards one that is focused on delivering improved revenue performance to business users inside digital media and marketing organizations. While we still have work to do, I'm confident that we are taking the right steps to properly position the company for improved operational and financial performance over time. In my remarks, I will review third quarter highlights and progress we're making in both our digital media and digital marketing businesses. In our digital media business, customers recognize that traditional ways of monetizing their business are under increasing pressure. And they need solutions that can drive improved revenue performance across all distribution channels. The recent announcements from HBO and CBS regarding plans to sell stand-alone video streaming services is evidence of the significant shift we are seeing in the digital video content market. Content providers are responding to the increasing demand by consumers for online digital content by offering a la carte streaming services as an alternative to their traditional pay TV channels. We believe this growing trend underscores the demand and strength in our market. New monetization approaches were a key theme at the recent Annual International Broadcasting Convention in Amsterdam. The premier conference for digital content creators and distributors that was attended by more than 55,000 people from 170 countries. At IBC, we introduced significant product innovations, including announcing the general availability of our new video player as well as a new player management service product, Brightcove Perform. Our new player is built from the ground up in HTML5 and has load times up to 70% faster than the competition, including YouTube, and we believe it's the fastest player in the market. Perform is an exciting service built around our new player that can power a cross-platform video playback with a full set of management APIs, support for HTTP live streaming video playback, robust analytics integrations and content protection, and that integrates with both server-side and client-side ad insertion. Perform is available as a discrete service, similar to Zencoder and Once, which we believe will open up new opportunities with companies that are looking to integrate a best-of-breed player into a bespoke workflow. While we feel very good about the progress we've made on the product front and our competitive position in the market, the shift in our strategy away from selling a horizontal solution to a modular set of solutions that are aimed at helping digital media customers generate improved revenue growth has led to a more ROI-focused sales process, driven by the business user. This is ultimately a very positive development for Brightcove, as it positions us to become increasingly strategic element of a customer's growth strategy. We continue to see pipeline growth and expanding number of large opportunities in the digital media business, but as you would expect, these deals often take longer to close. We are continuing to refine our sales approach for these deals and are optimistic, increasing modularity of our services and the innovation and performance of our new services will help us increase win rates and accelerate our ability to close complex deals. During the third quarter, we signed digital marketing deals with The Nation, MediaWorks NZ, RLJ Entertainment, Excite Japan, One Fighting Championship, GlobeCast Australia and ninemsn among others. The Nation, 1 of 2 English language dailies in Thailand and the flagship publication of The Nation Multimedia Group, which operates a TV channel and publishes several newspapers and magazines, was an exciting digital media customer in the third quarter. The Nation is leveraging Brightcove Video Cloud to upload and distribute content as well as to increase its monetization on mobile devices through Video Cloud's integration with a [indiscernible] server. Another great win in the digital media segment was MediaWorks NZ, a New Zealand-based television, radio and interactive media company that is 1 of the 2 major broadcasters in that country, who chose Brightcove to replace its current DIY solutions, based on our experience and leadership of large broadcasters in the Australia-New Zealand region. Finally, RLJ Entertainment, the company behind Acorn TV, a rapidly-growing subscription VOD service for British television in North America, greatly expanded their relationship with Brightcove this quarter, as a result of faster-than-anticipated growth of their user base. With the help of Video Cloud, they plan to roll out additional genres of their OTT offering. In the digital marketing segment, we're making progress in adjusting our message and sales methodology to focus on the marketer and the value Brightcove can deliver in helping to drive better revenue growth. Marketing organizations are looking for new immersive ways to drive greater engagement with their customers, generating increased brand affinity and brand loyalty in order to create incremental sales. Digital video content is a natural way to foster this engagement, and we are more tightly aligning with our marketing programs, sales training, demand generation efforts and sales collateral, towards this business use case and are seeing positive early results. Though we are not yet where we want to be. During the quarter, we signed new deals or upsells to global brands like Tesla and Lenovo as well as a broad section of customers across a wide range of industries, looking to leverage digital content, including Baker and McKenzie, Delhaize, Eaton Corporation, Maxim Integrated Products and Waters Corporation, among others. Our success with these customers underscores the horizontal opportunity we are targeting and that it's not just early adopters or consumer-facing companies that see the possibilities of using digital video to improve their business. The sales performance of the Video Marketing Suite in Brightcove Gallery exceeded our expectations in the first full quarter of availability. Customer reaction has been enthusiastic as evidenced by the number of new and upsell deals that closed in the quarter. Tesla, a premium automobile manufacturer is an excellent example of a new digital marketing customer that we added in the third quarter. Tesla has chosen Brightcove to help manage their growing initiatives, which will help them better reach prospective customer base around the world, including in China. Lenovo was another great digital marketing win during the quarter. They chose the Brightcove Video Marketing Suite to help increase video engagement, as well as maximize ROI and conversions as part of the company's overall marketing strategy. In addition, Lenovo has taken advantage of Brightcove's integration with the Oracle Eloqua marketing automation system. These early successes, combined with the increasingly strategic conversations we continue to have with digital marketing customers on the way video can be an essential ingredient in meeting the revenue growth needs, gives us greater confidence in our strategy. Our focus in the coming quarters is to build on these early proof points to create a repeatable higher velocity sales and marketing approach to address this marketing opportunity -- this market opportunity. In summary, Brightcove delivered solid third quarter results that give us confidence that the product, sales and marketing strategy we are executing against, will position the company for improved operational and financial performance over time to drive long-term shareholder value. With that, let me turn it over to Chris to walk you through the numbers.
Christopher Stagno: Thanks, David, and good afternoon, everyone. I will start by reviewing our financial results for the third quarter and then finish with our outlook for Q4. Total revenue in the third quarter was $31.5 million, an 11% increase from $28.5 million in the third quarter of 2013 and above our guidance of $30 million to $30.5 million. Subscription and support revenue of $30.4 million was up 15% year-over-year, while professional services and other revenue was $1.1 million compared to $2 million in the third quarter of 2013. The revenue outperformance in the quarter was a result of higher-than-expected professional services revenue, which included several hundred thousand dollars originally forecasted to be recognized in the fourth quarter, coupled with strong in-quarter revenue. Turning to revenue mix. Our premium offerings generated $28.9 million of our total revenue, representing a 12% year-over-year increase, while our volume offering generated $2.6 million in revenue, down 2% from the third quarter of 2013. On a geographic basis, we generated $19.3 million of revenue in North America for the quarter, which was up 13% year-over-year and represented 61% of our total revenue. Europe recorded $7.4 million, a 5% increase from last year and 23% of total revenue, while Japan and Asia-Pac generated $4.8 million of revenue for the quarter, up 9% year-over-year and representing 16% of total revenue. From a vertical perspective, digital marketing and enterprise customers represented 56% of our third quarter revenue, growing 2% on a year-over-year basis. It is important to note that the loss of Rovio described during our last earnings call, and which was included as part of our digital marketing and enterprise segment, will represent a material headwind to growth in that business over the coming quarters. The media vertical represented 44% of revenue in the quarter and was up 24% from the year ago quarter. While demand for our products remains strong across a wide range of industries, media remains our most attractive market, and we expect to continue seeing our revenue mix shift towards media as we increase our focus on that vertical. Turning to streams. Our year-to-date average monthly video streams as of September 30 was 1.5 billion, consistent with the end of the second quarter and up 63% versus the third quarter of last year. As a reminder, video streams have not historically been a good predictor of revenue, and we do not expect them to be in the future. Our recurring dollar retention rate was 86% in the third quarter, and was consistent with the mid-80% range we provided on our Q2 call. Going forward, we expect our recurring dollar retention rate to return to its historical level in the low to mid-90% range. Looking at our customer count, we ended the third quarter with 5,899 customers compared to 6,374 at the end of the third quarter of 2013. Breaking this down further, we ended the quarter with 1,847 premium customers compared to 1,833 from the end of the second quarter. We had 4,052 volume customers at the end of the quarter, which was down 110 from last quarter. Our volume customer count will continue to trend down as we shift our resources away from that market and towards the premium market. With our increased focus on the premium market and the media vertical in particular, we believe that average subscription revenue per premium customer is becoming a more relevant metric. In the third quarter, the average subscription revenue per premium customer was approximately $61,000, up 10% year-over-year. Moving down the P&L. Our non-GAAP gross profit in the third quarter was $21.3 million, an 8% increase from a year ago, and a gross margin of 68%, consistent with the end of Q2. Subscription and support revenue represented approximately 97% of our total revenue and had a 71% gross margin, while services revenue represented the remaining 3% of our total revenue and negative 21% gross margin. Non-GAAP loss from operations was $134,000 in the third quarter compared to non-GAAP income from operations of $1.1 million in the third quarter of 2013, and significantly better than our guidance of a loss of $2.2 million to $2.5 million. The earnings outperformance is largely the result of better-than-expected revenue performance discussed earlier. In addition, spending was below plan during the quarter due to the timing of new hires coming on board and continued strong expense management. Non-GAAP loss per share was $0.03, based on 32.2 million weighted average shares outstanding, which was better than our guidance of a loss of $0.08 to $0.09 per share and compares to earnings per share of $0.04 on 28.3 million weighted average shares in the year ago period. On a GAAP basis, our gross profit was $20.7 million, operating loss was $3.1 million and our net loss per share was $0.12. Turning to the balance sheet, we ended the quarter with cash and cash equivalents of $21.7 million compared to $20.8 million on June 30. Our deferred revenue balance at quarter end was $28.6 million, up 15% year-over-year. From a cash flow perspective, we generated $2.6 million in cash from operations and invested $1.1 million in capital expenditures and capitalization of internal-use software cost during the quarter, which equates to free cash flow of $1.5 million. This compares to $3.4 million of free cash flow in the year ago period. Additionally, at the beginning of October, we amended the terms of our existing credit facility, increasing the aggregate amount of cash available to us from $10 million to $20 million. This new facility provides the company with additional financial flexibility, though we remain very comfortable running the company with our current cash balance. I'd like to finish by providing our financial outlook for the fourth quarter and updating our guidance for the full year 2014. For the fourth quarter, we are targeting revenue of $30.3 million to $30.8 million, which includes a revenue contribution of $900,000 from professional services. Please note that the fourth quarter represents the first full quarter impact from the loss of Rovio, which is a $500,000 headwind sequentially and $1.4 million compared to the fourth quarter of 2013. From a profitability perspective, we expect a non-GAAP operating loss of $2.2 million to $2.5 million for the fourth quarter. Non-GAAP net loss per share is expected to be in the range of $0.08 to $0.09 based upon 32.4 million weighted average shares outstanding. For the full year 2014, we are raising our guidance for revenue to a range of $123.9 million to $124.4 million, which represents year-over-year growth of 12% to 13%. We are now forecasting a non-GAAP operating loss of $3.8 million to $4.1 million and non-GAAP net loss per share of $0.17 to $0.18, based on 31.9 million weighted average shares outstanding. This compares to our previous guidance of a non-GAAP operating loss of $6.5 million to $7.5 million and non-GAAP loss per share of $0.24 to $0.28, respectively. We are now forecasting negative free cash flow of $5 million to $5.5 million for the full year. This is an improvement compared to our previous guidance of negative $6 million to $7.5 million. With that, we will now take your questions. Operator, we are ready to begin Q&A.
Operator: [Operator Instructions] Our first question comes from Tom Roderick from Stifel.
Tom M. Roderick - Stifel, Nicolaus & Company, Incorporated, Research Division: So I wanted to touch on the topic you guys put an 8-K out on last month, I guess, relative to some unfortunate outages you had with the denial-of-service attack. And you covered that well, so I appreciate that when you put the 8-K out. I'm curious as you've been around to talk to your customers and get a sense for how they were impacted by that. Any impact in your thinking with respect to renewal rates looking forward or any challenges at service-level agreements, anything along those lines. I apologize if I missed that earlier in the call.
David R. Mendels: No. You didn't miss it. Thank you for joining us. No, we don't expect any material follow-on impact from the outage. Obviously, these things are unfortunate. We disrupted our customers. We've apologized to our customers. We followed through on the appropriate service-level agreement, credit structure that we have. Most of our customers have been reasonably understanding, given that we disrupted them, but they understand that we were disrupted. And so I think we are moving forward and don't expect any material fallout.
Tom M. Roderick - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. That's good feedback. I wanted to touch on the competitive landscape. One of your competitors was acquired out there by a large telecommunications company. And I'd be curios to hear from you whether or not that's had any impact on close rates? Or how your potential customers are thinking about investing in an OVP solution? What else are you seeing out there?
David R. Mendels: Well, we're certainly seeing a lot of opportunities among their customer base. Beyond that, I don't think there's much to report. I think they're much smaller company. I think we're about twice their size. I think earlier in the quarter, we received recognition from Frost & Sullivan as the leader in the market. I think we continue to hold that position. I think we continue to have good position in terms of more wins than losses. There's no one competitor, as we've talked about a number times, there's no one competitor that we see in the majority of our deals or even in any significant percentage of our deals. It’s a very fragmented market. By subsection -- by subsegment and by niche and by geography. And so there's no one company that we view as our competitor. There's many companies that we compete with at different times. But to purchase that company, I think they were having some struggle perhaps, I'm not sure exactly, but we certainly see a lot of opportunity among people who have invested in them historically, and look forward to continuing to pursue that in the market.
Tom M. Roderick - Stifel, Nicolaus & Company, Incorporated, Research Division: Great. Last quick one for me. You certainly have a number of areas you can choose to invest in whether sales and marketing, R&D, lot of areas to go after growth, how should we think about your sort of path to profitability or I should say reprofitability as you look out into '15 or '16, can you give us any sense as to what we ought to think about from a timing standpoint for when you target to achieve your cash flow positive nature in the business? Or just overall EPS profitability?
David R. Mendels: Sure. Well, first of all, I want to be clear that we're not guiding 2015 today. We'll be doing that in January. That's our standard approach. And so I don't want to get too much into that. We have said that we are at a scale where we believe we can be profitable. We should be profitable. We could drive profitable growth. That we're not aiming for maximizing profitability at a period where we still think there's a lot of opportunity to drive accelerating growth, and we do believe we can still do that. And so what you'll see is that we'll move towards profitability along the lines we talked about in the past. And last quarter, we told the folks that we'll definitely be profitable by the end of next year, by the fourth quarter of next year. We'll move towards that with progressive improvement and then over time, we'll gradually improve that at a point, hopefully, long in the future. If we see that the market opportunity is leveling off, we can drive for more profitability. We see a lot of opportunity and leverage in the model to do that. And in the meantime, I think we'll look for progressive profitable growth where we get increasing improvement on a regular basis. And so I think you'll see that over the course of next year, and we'll get into the guidance for 2015 when we talk in about 90 days.
Operator: Our next question comes from Terry Tillman from Raymond James.
AJ Shrestha: This is AJ Shrestha in for Terry Tillman. Just have a really small question. And it's kind of related to the previous question really. But just kind of wanted to get a little bit more idea on the investment plan going to 2015. Should we expect to see some steady improvement at the operating income line? And then each quarter?
David R. Mendels: Well, I'm not going to guide the quarters right now. We're not ready to do that. That's what we'll do next quarter. But I think as a general long-term trend, we're moving towards profitability. We've talked about that for a long time. If you recall in the back half of 2013, we achieved profitability slightly ahead of the schedule that we had set expectations on. And then we reset that at the beginning of this year based on the acquisition and the investments we made with the acquisition of Unicorn. And so I think that the path that we're on is towards profitable growth. And we're continuing on that path, but I don't want to get too specific on guiding the quarters until we finish our operating plan and guide you on that properly when we get back together in 90 days.
Operator: Our next question comes from Sameet Sinha from B. Riley.
Sameet Sinha - B. Riley Caris, Research Division: David, can you talk about the change in the sales structure, also touching on the fact that the compensation levels were changed, has that had any impact? And combined with that, can you also talk about the modularity of your product and specifically, your comment that it increases the ROI component of either, I think, the customers or at least from your perspective? I'm a little confused there. Secondly, Unicorn also had a bit of a hiccup last quarter. Can you clarify that has been caught up or more work needs to be done, and then I'll have a follow-up.
David R. Mendels: Okay, sure. Let me go backwards so I get this right. You asked me if there's any news on Unicorn. If you recall, last quarter when we guided the back half of the year, we said that we were a little behind where we had hoped to be at the beginning of the year. And we put that in context of the fact that they had quite a different contract structure. So our ability to forecast that business had always been a little bit tough or it was a little bit more variable because of the way they had structured, the way they did their business. So it's a little bit different, more of a utility-based model versus committed contract model. So there's no change. We are on the track that we set for last quarter. So I feel good about that. And overall, we continue to work on telling the story, advancing the product, bringing together the launched product and the Video Cloud product. One of the things we announced in the quarter at IBC is with our new player and our new player service, which we call Brightcove Perform, we now have built-in integration between the client-side player and the server-side ad insertion. And that's really pretty exciting we think in terms of the ROI that it can deliver because it gives people the best of both worlds. With server-side ad insertion, you're going to get more successful ad insertions, you're going to get more ad views, you're going to get more views on across different devices, and that results in more ROI and more revenue for customers. However, what client-side ad insertion does is it lets you do things like provide click-throughs, which a lot of advertisers want. It lets you do client-side beaconing, which is important for reporting. It lets you do interactive things like stop discover bar during the ad, so that viewer has to watch the ad before they can watch the content. And what we can do now and I think this is pretty unique in the industry, we're really excited about the innovation is we can have the best of both worlds, where you can bring together the Once product and the Brightcove player product in order to have sort of a really highly optimized ad technology strategy. And so as an example of what we're doing, we've gotten really good feedback on it from customers and prospects. And we'll continue to work on that over time. So all in all I'd say we're on track from what we said last quarter and continuing to innovate and advance that. You asked me also about how we're doing on the evolution of the sales structure. And just to recap for folks who may not have been in on all the previous calls, at the beginning of the year, we reorganized our go-to-market operation to really focus on 2 key verticals: one is media vertical, folks doing ad-supported media or subscription-supported media. And that's a sales-led target account outside sales, a large deal pursuit go-to-market operation. The other is pursuing enterprises that are using video for digital marketing. That's going after a much broader class of customers, a much wider range of industries, both larger and -- as well as medium and some smaller companies. And that's more of a marketing-led go-to-market operation. Where you generate broad interest and then demand, and you bring people into what you call in the market world a funnel, and they get passed eventually to an inside sales force. And so it's 2 very different go-to-markets, which I think is appropriate for the 2 core markets where we think we have the most competitive advantage and the most ROI. And I would say, we started that at the beginning of the year. It's a pretty significant transition. I think last time I sort of equated that a little bit to turning a ship and it takes a little while to turn the ship completely in order to achieve all the results. But I'm very pleased with the progress we've made in the quarter. We still have more work to do. I think I said that in the prepared script, but I see a lot of progress. And then lastly, I think you asked me about the modularity of the products. This is really exciting and it's a big change for us over the last year. It's a big change for us vis-à-vis some of our competitors. In that -- historically, we were a one size fits all product. Brightcove Video Cloud sort of did everything from ingesting the video, to transcoding the video, to playing the video, to inserting the ads, to doing the analytics. And that worked really well for a lot of customers. And obviously, that's what drove our growth for most of the first 10 years of this company. And so more power to it. However, especially as we started targeting the top of the pyramid, the biggest media companies in the world, the top 300 largest media companies. What we see is they all have very custom workflows, they want to integrate in with different systems. They have large complex operations and complex teams that don't necessarily buy one-size-fits-all solutions. And it may even be different teams that work on transcoding versus work on playback versus work on ad operations. By having a more modular solution, it gives us a way to win deals, to put a foot in the door, to accelerate sales cycles and to add value to our customers, even if they aren't likely to or aren't ready to buy a full solution. But once you have that foot in the door and we're able to help a customer, for example with playback, we can go back in and say, "Hey, by the way, we can also help you with encoding. By the way, we can also help you with ad insertion." And it lets us go back and grow that customer over time. So I think it's great for our business model, but it's also great for our customers.
Sameet Sinha - B. Riley Caris, Research Division: Great. One final question. The acquisition of Unicorn, you're kind of moving up the technology stack and that seemed like a step where you were kind of leapfrogging competitors, but Ooyala acquiring Videoplaza -- how does that fit? I mean, does that increase the competitive element? Or the advantage that you had in combination with Unicorn? Or can you comment on that?
David R. Mendels: No. It's really apples and oranges. Videoplaza is an ad server technology. They compete more with companies like, let's say, FreeWheel, which is owned by Comcast or DoubleClick, which is owned by Google. It does the ad decisioning, whereas -- but it doesn't do the dynamic ad insertion. So as far as I know, neither Videoplaza nor Ooyala have any technology for dynamic ad insertion. There's still a significant competitive advantage and differentiation in that regard.
Operator: Our next question comes from Dan Bergstrom from RBC Capital Markets.
Dan Bergstrom - RBC Capital Markets, LLC, Research Division: You had a number of impressive marquee wins in the digital marketing segment this quarter. How should we think about the opportunity in those accounts? Are there additional divisions, geographies, products that we should expect to come online over time?
David R. Mendels: All of the above. I think that there's a lot of opportunity in that space and thanks for asking. We tend to talk a little bit more about the digital media part of our business because we've made a lot of significant investments there like the Unicorn acquisition and it has been a strong growth area for us. But the digital marketing business for us is potentially just as exciting. We see a very large market opportunity where it really goes back to what are marketers trying to do in this day and age because the way people buy products has radically changed over the last 20 years. They don't talk to salespeople until they're 90% of the way through a buying decision process -- through the buying cycle. They go online, they read articles, they look at videos, they do competitive stuff, they look at content. So from a marketer point of view, the key idea in modern marketing really is to how do you get the right content in front of the right person, at the right point in the buying cycle. And then how do you move them through a buying cycle until they get ready to make a decision and are ready to talk to a salesperson. And this is a core idea behind what's been called content marketing. It's a pretty core idea behind the whole idea of marketing automation, which is about getting automating that process with technology, with analytics to get that content in front of people. And it's core to the whole marketing cloud concept that you see companies like Oracle, talking about with their acquisitions of companies like Eloqua, Salesforce with their acquisition ExactTarget, Adobe with the acquisition of Neolane and Omniture, and so and so forth. And what we're seeing is a very, very large investment as the CMO gets more and more dollars to spend on tech. We see the CMO spending more money than CIO often. And they are investing very heavily in these marketing automation systems and analytic systems. Now within that, then say, "Well, if marketing is all about getting content in front of users, well, what's the right -- what's the best form of content." And our argument and I don't think this is a really difficult argument to make is that it's video. And we know the emotional power of using video to tell a story and to express the brand and to sell a product because we have 100 years of television behind us. And so that's what's driving the business there. In terms of these customer wins, I think we see a lot of opportunities along the lines that you've talked of. In some cases, we may win for a project or for a department or for a product line or for a launch, and we absolutely have the opportunity to go back in and win additional business with that customer on a corporate -- divisional basis or on a product line basis or sometimes on a geographic basis. And I can think of at least some specific customers where we've done that in the last quarter, been able to grow the customer on that basis. So I think getting a foot in the door is always where you start. There's lot of opportunities to grow. And as what you saw this year as we introduced the new product, Gallery. And then we introduced new package called the Video Marketing Suite, which brings together Gallery with Video Cloud with some of the integration we've done with Oracle's Eloqua product into a single suite and that's also an opportunity to go and upsell our customers. That's a higher price point product. It's a new product that lets us go and do an upsell. And so we had quite a lot of success going back into customers and selling them a higher price point, larger package, more value, more functionality. So while there's nothing to announce today, it's certainly our envision over the next few years to continue to introduce new products, to continue to expand that suite that would let us go back and sell more as well.
Dan Bergstrom - RBC Capital Markets, LLC, Research Division: And then David, could you talk about the pipeline for 6-figure-plus deals? I know you had some comments inter-quarter that it was strong. How did that pipeline shape up over the second half of the quarter?
David R. Mendels: It continues to be strong. We feel good about where we are. We see lots of opportunities. I said for a long time the market is early, but we're starting to see some big movement in the market. When you see companies like CBS and HBO going with stand-alone a la carte streaming services. And so we're definitely seeing many opportunities in all of the major geographies, 6-figure and sometimes larger deals. We feel good about the wins that we announced. Some of those are fairly significant media companies around the world. And we continue to work on a number of fairly significant ones that we feel pretty good about going forward.
Operator: At this time, we have no further questions. I'll turn the call back over to David Mendels for closing comments.
David R. Mendels: So I want to thank everyone for joining us. It was a really solid quarter. I think we achieved a great deal in being able to overachieve expectations and guidance on the top line and the bottom line. As I mentioned, we're not done. We have a lot of work to do. We believe our goal and ambition is to continue to drive growth and then achieve profitable growth. We're working really hard on that, and I appreciate everyone's time and energy for joining us. Thank you very much.